Operator: Welcome to the Broadcom fourth quarter and year 2007 earnings conference call. (Operator Instructions) Your speakers for today are Scott McGregor, Broadcom's President and Chief Executive Officer; Eric Brandt, Broadcom's Chief Financial Officer; Henry Samueli, Broadcom's Chief Technical Officer and co-founder; and Peter Andrew, Vice President of Corporate Communications. I would now like to turn the call over to Mr. Andrew. Please go ahead.
Peter Andrew: Thank you, Kristine. During this call, we will discuss some factors that are likely to influence our business going forward. These forward-looking statements include guidance we will provide on future revenue, gross margin, and operating expense targets for the first quarter of 2008 and any other future periods and statements about the prospects for our various businesses and the development status and planned availability of new products. It should be clearly understood that our actual performance and financial results may differ substantially from the forward-looking statements we make today. Specific factors that may affect our business and future results include, among other things, general economic conditions and political conditions in the markets we address, are discussed in the risk factors section of our annual report on Form 10-K for 2006 and subsequent SEC filings. A partial list of these important risk factors is set forth at the end of today’s earnings press release. As always, we undertake no obligation to revise or update publicly any forward-looking statement for any reason. Throughout this call, we will be discussing certain non-GAAP financial measures. Today’s earnings release and current report on Form 8-K filed today describe the differences between our non-GAAP and GAAP reporting, and present a reconciliation between the two for the periods reported in the release. Please see the investors section of our website for reconciliations going back to the beginning of 2005, as well as for additional financial and statistical information, including the information disclosed in accordance with SEC Regulation G. With that, let me turn the call over to Scott.
Scott A. McGregor: Thanks, Peter. During the fourth quarter, Broadcom attained record revenue of $1.027 billion. Not only was it a record revenue level but the 8% sequential quarterly revenue growth was the highest Broadcom has experienced since Q1 2006. For the full year, Broadcom reported record revenue of $3.78 billion, up about 3% year over year. During the fourth quarter, our broadband communications business fell on a sequential basis while the enterprise networking and mobile and wireless businesses both grew, enabling Broadcom to come in at the upper end of our targeted revenue guidance. While the business mix within the quarter did not come out exactly as we anticipated, the fact that we are still able to exceed expectations highlights Broadcom's ability to combine diversity with intense focus. Broadcom possesses the most diverse product line to address communication needs at work, home, and on the go, along with an intense focus on voice, video, and data over both wired and wireless networks. We believe that the winners in this next generation of convergence, the convergence of communications, will be those few companies such as Broadcom that possess a product line that is both deep and broad. We remain committed to expanding our product lines further in the future and during the fourth quarter, Broadcom invested to expand both our principal businesses and in a number of new growth areas. As highlighted during our analyst day in November, Broadcom's management team conducted an extensive portfolio review process and during the quarter, we made additional strategic portfolio management decisions to help moderate overall expense growth going forward. Eric will comment on this later. The Broadcom management team remains committed to investing to grow the company in the future while at the same time making progress towards our targeted financial model. With that, let me now turn the call over to Eric to talk about our financial performance in the quarter and for the full year.
Eric K. Brandt: Thanks, Scott. We are pleased with our Q4 results. To summarize Q4, revenue of $1.027 billion was up $77 million, $32 million of which relates to the Verizon royalty payment, or roughly 8% from Q3 2007, and was at the upper end of the range provided at analyst day. This represents the fastest quarterly sequential revenue growth since Q1 of 2006. Non-GAAP gross margin, excluding the effect of the Verizon royalty, was 52%, was down 10 basis points from last quarter, consistent with our guidance. Including the Verizon royalty payment, non-GAAP gross margin was 53.5%. Total non-GAAP operating expense increased by $12.4 million over Q3. This was below the expected range of $15 million to $20 million provided on our last earnings call. Non-GAAP earnings per share were $0.34, which was above the $0.27 in Q3, driven by higher revenue and margin and lower-than-anticipated spending. Cash flow from operations was a strong $217 million. Our cash and marketable securities on hand remained roughly flat for the quarter at $2.4 billion, driven primarily by $328 million of share repurchases settled in the quarter, which offsets a strong operating cash flow. Inventory for the quarter increased by roughly $18 million to $231 million, which equates to 8.3 turns on a non-GAAP basis. This turns level of 8.3 times remains above our long-term goal of 7 to 8 turns. At analyst day in November, we said we expected Q4 revenue could approximately be $1.015 billion to $1.030 billion, assuming a $40 million Verizon royalty earned for Q3. We said we expected solid revenue growth in our mobile and wireless business, some growth in broadband communications, and that revenue from enterprise networking would be slightly down. We anticipated this to be driven by strong growth in the Bluetooth and wireless LAN areas with their second half of the year product ramp, offset by the normalization of Q3’s unexpected strength in gigabit ethernet controller products. What occurred in Q4 was strong revenue growth in our mobile and wireless business, modest growth in our enterprise networking business, offset by some decline in the broadband communications area, and royalty revenue of $32 million reflecting an adjusted reported received from Verizon. With respect to our broadband communications market, the revenue decline was driven primarily by weakness within our satellite set-top box line of business. This was partially offset by revenue growth within the digital cable set-top box and broadband modem businesses. In the mobile and wireless business, as anticipated, we benefited from growth across all lines of business, driven by new products and customer ramps and seasonal strength in Bluetooth, wireless LAN, and baseband, as well as in the GPS segment. In addition, we’ve included in this business the $32 million in Verizon royalties in the quarter. Similar to last quarter and contrary to what we expected, our enterprise networking business did grow modestly, driven by growth in the business and the continued delay of timing and fall-off in the gigabit ethernet controller segment, which caused revenues from the controllers to be relatively flat quarter over quarter. Revenue distribution for Q4 was as follows -- broadband communications accounted for 35% of total revenues; mobile and wireless, which includes the Verizon royalty for 37%; enterprise networking for 28%. With respect to gross margin, as we forecast in October our gross margin excluding Verizon declined slightly to 52%, driven by product mix and the ramp of a number of new products and customers. Recall that our product gross margins tend to be lower for new products that have not yet moved down the cost curve. Moving to operating expenses, non-GAAP operating expenses were up $12.4 million from our Q3 levels, or about $2.5 million below the range provided. This improvement was driven by an increased focus on cost and the timing of legal expenses, which can be highly variable. R&D as a percentage of sales on a non-GAAP basis declined to 26.4%. We continue to operate above our long-term targeted R&D range of 20% to 22% as a percentage of sales while we continue to invest to deliver on recent design wins and a number of our emerging businesses, yet we also remain committed to returning to our targeted operating model. This increased R&D percentage will continue until those design wins convert into revenue, especially in the cellular market. Approximately 80% of our tape-outs in Q4 were in 65-nanometer. Looking to Q1, we expect that once again approximately 80% of our tape-outs will be 65-nanometer or smaller process geometries. We increased total company headcount in Q4 by 233 people to a worldwide total of 6,347 people. This includes almost 4,700 employees in engineering, or approximately 74% of the total headcount. Moving to the balance sheet, as I mentioned, total cash and marketable securities were roughly flat at $2.4 billion, driven principally by the share repurchase programs. We generated strong positive cash flow from operations of $217 million. We also benefited from the proceeds of employee stock option exercises of approximately $118 million. This was offset principally by the repurchases of our common stock. Inventory increased in Q4 by approximately $18 million to $231 million. Non-GAAP inventory turns remained strong at 8.3 times in Q4. The percentage of sales made through distributors remains low at approximately 15%. In addition, we continue to provide a large number of hubbed parts through hubbing arrangements with our customers. As a reminder, we recognize revenue through distributors and hubs on a sales-out basis. Our days sales outstanding decreased from 38 days to 33 days, and was driven by good linearity and the timing of the Verizon payment. We expect to see DSOs return to normal levels in 2008. As previously announced, in November we completed a $1 billion share repurchase program that commenced in February of 2007. During the quarter, as a result of that program and a new $1 billion program approved in November, the company repurchased 11.1 million shares at a cost of $338 million. The objectives of these programs are to manage our net share dilution and return capital to shareholders. While our first priority will always be to invest in the business, we believe that given our strong operating cash flow and the pace of our investments in future businesses and emerging areas, this is currently an excellent use of our cash. Based on current market conditions and the potential number of shares to be repurchased under the current program, at the end of Q1 we could see our non-GAAP weighted average shares outstanding share count return to the approximate levels of mid-2005. Moving to expectations, we currently expect a seasonal revenue decline in our consumer oriented businesses in Q1 and expect that total revenue will be in the range of $975 million to $1.005 billion. While we have no specific information, this assumes Verizon royalties will continue at a similar quarterly run-rate throughout the year. In looking at what we expect to happen in Q1, in broadband communications we expect the business to be relatively flat versus Q4. In mobile and wireless, we anticipate a seasonal decline, given the high consumer exposure of this business, offset somewhat by continuing growth in GPS. The enterprise networking group will be relatively flat, as we expect continued growth in the switching area offset by the expected decline in the gigabit ethernet controller business. For non-GAAP gross margin in Q1, we expect to see a slight decline in gross margin, somewhat greater than what we experienced last quarter, as we continue to ramp a number of new products to new and existing customers in the quarter. Just to repeat, typically our newly introduced products have lower gross margins as we focus design wins initially for quick time to market. For non-GAAP operating expenses in Q1, while we expect to continue investments in new products in the migration to 65-nanometer, including more dedicated production oriented masks, we anticipate total R&D expense growth will slow. As a result of lumpy legal expenses anticipated for Q1, we expect the non-GAAP operating expenses to increase in the $13 million to $18 million range, of which approximately half relates to legal. Cash flow from operations for Q1 is expected to remain strong. Also, we anticipate that we’ll continue to repurchase shares in Q1. We have approximately $844 million remaining on our current buy-back program. And now I would like to turn the call back over to Scott to talk about the state of the business.
Scott A. McGregor: Thanks, Eric. I’ll now provide some more details on our business. The broadband communications business came in below our original expectations in the fourth quarter, mainly due to weakness in satellite set-top boxes offset in part by stronger than expected demand in cable TV. As I mentioned earlier, this diversity within our product lines is one of the key advantages that broadband possesses. Looking out into the future, we see a number of opportunities to continue to grow our set-top box business, driven by the following factors: one, we see continued HD and PVR penetration within the continued adoption of more HD and PVR enabled set-top boxes across the entire pay TV segment. For example, in the United States, only 17% of cable, satellite, and IPTV subscribers have HD service today and only 25% have a PVR. Worldwide, the numbers are even lower. The second factor is whole home services and connectivity, which is the integration of more communications capabilities, such as MoCA, ethernet, wireless LAN and Bluetooth, along with a higher penetration of broadband modems integrated into set-top boxes. The third factor is greater MPEG-4 adoption. While IP and DVS operators have already transitioned their HD services to MPEG-4, cable MSOs have plans in place to utilize the advantages of MPEG-4 to increase their channel capacity. This will provide another potential upgrade cycle for the installed base of HD MPEG-2 set-top boxes. The fourth factor is the analog turn-off, and this is driven by the U.S. Department of Commerce National Telecommunications and Information Administration’s digital to analog converter box program. While this FCC program is aimed at terrestrial transmission, North American cable operators are also investigating similar functionality to reclaim their current analog service tier. And the fifth factor for set-top boxes is the market entrance and expansion by further penetration across the worldwide DVS, cable, and IP set-top box segments. Turning to new product announcements in the set-top box area, Broadcom rolled out a new family of highly integrated, 65-nanometer, high definition satellite set-top box system on a chip products. The goal of these products is to enable satellite operators to drive down the cost and power required to deploy a set-top box, reducing subscriber acquisition costs and household power consumption. Secondly, we introduced the first consumer real-time high definition encoder transcoder, enabling the sharing of movies, pictures, and music among portable PC and TV platforms while providing for digital rights management and security. Devices that could utilize these products include set-top boxes, home media centers, digital TVs, high definition DVD players and recorders, personal media devices, laptops, and PCs. Moving on to broadband modems, growth in Q4 was driven by voice and gateway CPE products, along with revenue growth in the infrastructure segment. VDSL experienced strong revenue growth in the quarter in both the central office and CPE side, while ADSL was down due to year-end inventory adjustments at our larger telecom customers. As we look into 2008, we believe that the drivers for our broadband modem business will be the continued penetration of voice capability, incorporating more switching, wireless lan, and MoCA into the modems, and the move towards VDSL2 and DOCSIS 3.0. As we look into Q1, we expect that our broadband communications business will be approximately flat sequentially, as demand for broadband modems, set-top boxes, and consumer products remain consistent with the prior quarter. Moving to enterprise networking, revenue from our enterprise networking business came in a bit better than anticipated in Q4, driven mainly by better than expected sales of switches. And just for clarity here, when we mean switches, we group switches, [inaudible], and related software into the switching category. This grew along with the less than expected fall-off in our gigabit ethernet controller business. The growth in switching was driven by the continuing shift to gigabit ethernet, as well as some seasonal strength in our small and medium sized business segment, where we combine switching products with our broadband modems and wireless LAN products. Our gigabit ethernet controller business was down slightly but stronger than anticipated. We believe that we reached a peak in this business in Q3 and expect our gigabit ethernet controller business to be down in the first half of 2008 as the market share shifts finally start to occur and the PC market encounters normal seasonality. We’re working to win back market share in the next generation of PCs. During the fourth quarter, the enterprise networking announced a suite of new products for customers ranging from the consumer to the enterprise data center. These new products include the following: a new, 65-nanometer gigabit ethernet controller that combines DASH and PMCI client manage ability protocols for energy efficient, enterprise class PCs that achieve EPA Energy Star compliance; a new 65-nanometer 10-gigabit ethernet switch that combines 240 gigabits of multi-layer switching capability, along with the industry’s lowest power consumption to help accelerate the migration to next generation green data centers; a new 65-nanometer five-port gigabit ethernet switch which enables ubiquitous deployment of gigabit connectivity. For the first time, a gigabit ethernet switch is available at power levels and a price point that can drive the transition from fast ethernet to gigabit ethernet in home routers, residential gateways, set-top boxes and other consumer electronics devices; and finally, fast-path 5.0 networking software that enables the delivery of voice, security, and ease of use capabilities required for small or medium sized businesses. As we look into the future, we believe the drivers for growth within enterprise networking will be the continued growth of gigabit ethernet switching, the emergence of 10-gigabit ethernet, continued migration of the carrier metro network towards ethernet, and continued gains in the small to medium business switching segment. With respect to Q1, we estimate that enterprise networking revenue will remain approximately flat as growth in switching and other areas offset the decline in gigabit ethernet controllers. Moving to mobile and wireless, in Q4 our mobile and wireless revenue was up sharply, as we expected, due to growth across every line of business within this group. The biggest revenue contributors were Bluetooth, wireless LAN, and GPS, each of which benefited from a strong holiday season as well as the royalty revenue generated from our patent license agreement with Verizon. Our cellular revenue grew through increased sales of our Edge and 3G baseband chips. While our total baseband revenue was still small, it was an important quarter for Broadcom as we announced an expansion of our 3G baseband relationship with Samsung, the world’s second-largest mobile phone manufacturer. Together with the 2G design win last quarter, we are now working with the top two providers in the cellular handset market. Also in Q4, we announced two truly revolutionary chips, our Zeus single-chip HSUPASOC with integrated baseband, RF, multimedia, and Bluetooth, and also our 2727 Video Core 3 multimedia chip. Customer interest in our Video Core 3 product has been very strong. We are seeing interest from both top-tier cellular handset and portable media device manufacturers, as no product in the market today combines the level of audio and video performance at such incredibly low power. With respect to the timing of revenue from our cellular investments, as we mentioned last quarter, we do not envision substantial revenue contribution from our cellular baseband efforts in 2008. Our goal in cellular baseband is to reach a 10% unit market share by the time we exit 2009. The plan remains the same -- 2007 was a year to win designs; 2008 is the year to get products and phones done; and 2009 is the year to grow share and generate significant revenue. In the GPS space, revenue grew nicely in Q4, driven by strong holiday demand in the PND market, personal navigation devices. As we look out into 2008, we hope to expand our share of the PND market and to see some early results from GPS capability in cellular handsets. Customer interest is also starting to grow for converged GPS products that incorporate GPS with other wireless technologies. We’ll announced these products at the appropriate time. Wireless LAN had another good quarter of revenue growth. Broadcom maintained its overall number one position in wireless LAN, according to several market research reports issued in Q4. 802.11n experienced continued strong revenue growth while 802.11g was down slightly. N revenue grew almost 50% sequentially for us in this seasonally strong quarter. The migration from g to n continues and we’re seeing additional applications for wireless LAN, such as multimedia distribution around the home. At CES, a number of our customers introduced their next generation 802.11n routers, focused on delivering true multimedia distribution throughout the home. With respect to converged communication products, we expect to begin shipping our triple-play, Bluetooth, FM, and wireless LAN devices in the second half of 2008. In Bluetooth, we experienced another record quarter of revenue, driven by growth within the PC, embedded, and cellular segments. We anticipate a continued Bluetooth headset ramp as we move into 2008. Sales into the cellular market continue to be the strongest revenue driver, where we benefited from being first to market with converged products such as Bluetooth plus FM. Revenue from our Bluetooth plus FM product doubled from Q3 as we experienced strong demand across our top cellular handset customers. The embedded and PC segments also experienced strong revenue growth due to continued demand for certain gaming platforms and the continued penetration of Bluetooth into PCs and notebooks. As we look into Q1, we believe that revenue within the mobile and wireless segment will be down, mainly due to normal seasonal consumer buying patterns, but partly offset by some ongoing ramps in both Bluetooth and GPS. Moving to the topic of Qualcomm, on the litigation front we had another good quarter in our effort to halt Qualcomm’s pervasive infringement of our intellectual property. Our goals remain simple and have not changed since this all started. The first one is to gain proper recognition of the value of Broadcom's significant intellectual property, especially in the wireless space; and number two, to achieve a level, competitive playing field in the cellular chip markets. In terms of recent events, on January 7th, Judge Major in San Diego issued her sanctions again Qualcomm and its outside lawyers for their “monumental discovery violations”. Judge Major’s order on sanctions follows the news on December 20th that the U.S. International Trade Commission has opened an investigation to determine whether Qualcomm is in violation of the Commission’s cease and desist order. That order was issued in the ITC's earlier investigation of Qualcomm’s infringement of a Broadcom patent. The Commission will now determine whether additional enforcement measures are appropriate. The new investigation involves our claim that Qualcomm’s supposed work-around of our 983 patent continues to infringe our patent, among other items. A hearing before the ITC is scheduled in April. On December 31st, a Federal judge in Santa Ana, California, enjoined Qualcomm’s 3G and push-to-talk products, following a jury determination that Qualcomm infringes three other Broadcom patents. Infringing wideband CDMA and new EVDO products are enjoined outright, while legacy EVDO products may ship for a limited time to legacy customers only. What this means is that except for the legacy products, all work done in the U.S. with respect to Qualcomm products that have been found to infringe our patents and those that are not tolerably different must stop immediately. This includes making, using, or selling certain chips and software. As you know, we have additional patent, anti-trust, and unfair competition claims against Qualcomm that have not yet been addressed at trial. To date, Qualcomm has either lost or dismissed all of its claims against Broadcom. With regard to settlement discussions, we’ve had no discussions with Qualcomm in months, as it appears that Qualcomm has bet its future and its end customers upcoming product launches on the patent appeals process. As we said last year, we remain open to a resolution that would allow us to achieve our two objectives stated earlier. We believe this would be a positive outcome for Broadcom, for Qualcomm, and all the industry participants that are affected by the current litigation. That concludes our prepared remarks. We are now ready to take your questions. Kristine, may we have the first question?
Operator: (Operator Instructions) The first question comes from Shawn Webster from J.P. Morgan.
Shawn Webster - J.P. Morgan: Can you give us an update on your channel and customer inventories, the way you see them, maybe by some of your key end markets? And then I have a follow-up question on OpEx.
Eric K. Brandt: I would say that there is nothing specifically abnormal. You know, there’s some puts and takes in different places but nothing that sort of jumps out at us as being abnormal at this point in time.
Shawn Webster - J.P. Morgan: Okay, and then for your operating expenses, you are up a couple hundred more heads in the quarter. Do you have plans to slow the headcount growth at all as we move our way through 2008? And maybe you could help us flesh out how we should expect your operating expenses to grow this year?
Eric K. Brandt: Sure. So as we’ve said previously, our intention was to try to slow our operating expense growth and I think you can see the early parts of that. And while we don’t intend any shocks to the system, I think as you sort of slow this down across the time period, that’s what we are going to do. So you should see the headcount growth plus or minus acquisitions, begin to slow across the year and then ultimately, the operating expenses to slow with it, net of our annual merit increase process, which occurs in Q2, and any sort of significant investment which we’ve mentioned in the past that we would make relative to any additional tier one type of cellular opportunity that came our way. We’ve heard the message from our investors. We are aware that we grew R&D over 2007 by 27% and that our revenue grew by 3%, and we need to start leveraging value from those investments across 2007 and not necessarily shock our system in 2008 but make better choices and focus better in 2008.
Shawn Webster - J.P. Morgan: Okay, fair enough. Can you talk about your bookings and order trends? What percent are you booked for Q1? And how was linearity coming into the quarter?
Eric K. Brandt: On average, we are 80% to 90% booked going into a quarter. The linearity for Q4 was very strong. I don’t want to comment necessarily on the linearity for Q1 as we are just sort of in the first month of Q1, but I would say at least as see it now, there is nothing abnormal.
Shawn Webster - J.P. Morgan: Okay. Thank you very much.
Operator: The next question comes from Adam Benjamin from Jefferies & Company.
Adam Benjamin - Jefferies & Company: Just to clarify, on the mobile and wireless business, you saw growth across all your business lines in the quarter?
Scott A. McGregor: That is correct.
Adam Benjamin - Jefferies & Company: And in terms of the Q1 guidance, you expect that to be down, seasonally offset by GPS and Bluetooth ramps -- so should we -- we shouldn’t assume that those businesses will be up sequentially, should we?
Scott A. McGregor: Well, what we said is that the overall mobile and wireless segment would be down but that the seasonality would be muted by ramps that we are seeing at customers. We didn’t break out specific ones.
Adam Benjamin - Jefferies & Company: Okay. Can you guys break out -- typically you’ve provided the highest, the segment that provides the highest percentage of revenue, what percentage that was without giving the exact segment?
Eric K. Brandt: Sure. In terms of our lines of business, Adam, we had two lines of business that were above 10% of sales out of our 21 to 22 lines of business, and the biggest one was in the mid-teens.
Adam Benjamin - Jefferies & Company: Okay, great. That’s all I have, guys. Thanks.
Operator: (Operator Instructions) The next question comes from Ross Seymore from Deutsche Bank.
Ross Seymore - Deutsche Bank : On the OpEx side of things first, as we look at some of the belt-tightening you are doing there, how do we think about business opportunities that you are not going to invest in? Is there any area that we can think about that you are kind of walking a little bit away from?
Scott A. McGregor: We don’t generally break out the areas -- I apologize for that, but in general we are investing in the things that we see as the best opportunities going forward and give us the best return on the investment, so that’s our focus as a team and as we have looked at things, we’ve seen some things where we could reduce. It doesn’t mean we are cutting our investments. It means that we are moderating our growth rate in terms of investments going forward to allow our revenue growth to catch up and get us back to model.
Eric K. Brandt: And just to add to that, you may recall I said that on average, our operating expenses grow at about 5% per quarter and really what we are trying to do is figure out if we could pull that back one, two, three points off of that. And that’s really what we are working to do and I think the actions that we have taken in Q4, while this is a big ship, it takes a little while to slow it down. We think we’ll see that across the year.
Ross Seymore - Deutsche Bank : It sounds like it’s a little less spending spread across the board rather than any kind of concentrated areas of pain -- is that a fair summation?
Scott A. McGregor: Well, there are areas where we have dramatically either increased or reduced investment, so it’s not -- we didn’t peanut butter this across the organization. Don’t get that impression. This is a set of decisions made on where are the things that are going to return a lot to the shareholders and good investments going forward, and where are some that are less good decisions? It’s good portfolio management and that’s what we’re doing.
Ross Seymore - Deutsche Bank : A quick follow-up; when you talked about the three areas that you expected to be solid growth drivers in ’08, if I remember, the Bluetooth, WiFi, and HD TV were the same ones you talked about in ’07. Could you just talk a little bit about how those have progressed to date? And if you care to kind of quantify year over year, is the growth in those segments going to be bigger in ’08 than it was in ’07?
Scott A. McGregor: That’s sort of hard to predict in some of those cases. We’ll have to see how fast some of the customer ramps go. Digital television is an exciting one. We’ve got a number of customers there -- LG and Sharp. We showed devices at CES, very, very nice products there and those are selling well. In the year 2008, we expect to pick up additional customers and see additional products go out there, and that will drive the growth as well as the continued success with those two visible customers. In the Bluetooth area, I think one of the things that is really going to drive Bluetooth is the increased ramp of headsets. Bluetooth overall is a pretty strong category between games, cellular handset penetration. But I think headsets is a real opportunity to gain market share and should really help us with the growth there. In wireless LAN, 802.11n is doing very, very well and we’re seeing, as I mentioned in my remarks, we saw 50% sequential growth from Q3 to Q4 in 802.11n, so I think we are now on a very good point in the ramping curve for that and we have some very strong products. One of the things that’s going to help across wireless in general is the combo products that we’ve done, Bluetooth plus FM being the first one. But I think as we roll out additional combination products, we’re seeing very, very strong interest from customers and this is something that Broadcom has a unique capability. Our competitors really haven’t shown that they can put together the combo products and as our customers look for cost savings, board space savings, and us solving the compatibility problems between the different wireless components, it’s a very attractive set of products and these are all coming out in 65-nanometer with integrated radios and in some cases, integrated power amplifiers. A really good product set there and I think that’s driving a lot of the growth.
Ross Seymore - Deutsche Bank : Great. Thank you.
Operator: The next question comes from Uche Orji from UBS.
Uche Orji - UBS: Just very quickly, let me ask you about the gross margin outlook with 65-nanometers. How much of your shipment and also tape-outs right now is 65? I know you said gross margins next quarter will be slightly lower because of the new product ramps, but at what point should we expect to see a crossover gross margin [inaudible] impacted by the 65-nanometer product?
Eric K. Brandt: First, on the tape-outs, I said for the current quarter about 80% were 65-nanometer and we think about that same number for Q1 as well, so Q4 and Q1 about the same rate. In terms of shipping of product, 65-nanometer represents in the 1% range of our products. It’s really very low right now and with a little bit of luck, by the end of next year we could be approaching in the 20% range. Again, the issue is these products are priced and built for time to market first, so that we can get them out there and get them in place. And what we are really trying to do is build converged devices which have a competitive advantage and we should see a lower slope of ASP decline while we are reducing the actual cost of the chip. What that timeline is, it’s hard to say. I mean, I think again if you look at our charts of gross margin and growth rate, what you’ll see is that gross margin tends to come under pressure as the growth rate begins to accelerate and then begins to drift back up as the growth rate moderates. I mean, it’s sort of a perverse thing and it lags about one or two quarters. We think the same thing will be true here. It’s hard to predict what that will do and where our ASP declines will go beyond a quarter or two, but we’re doing the best we can to give you the best insight we can.
Peter Andrew: I mean, the key thing about 65-nanometer is we really see that as a chance to accelerate revenue versus push our gross margins to a brand new level, so we really hope to leapfrog a lot of the competition with some of the convergence products that Eric and Scott mentioned earlier.
Uche Orji - UBS: That’s helpful. Just one more question, please; in terms of ADSL, the inventory adjustment you mentioned, was that a one quarter event or will that [inaudible] time? Are there any particular geographies where this might be occurring?
Scott A. McGregor: Generally when we talk about inventory issues, we think of those as short-term events, so approximately a quarter or so. We don’t see that as a long-term thing going on through the year. I can’t comment specifically on geographies but you can probably assume it’s in the larger deploying geographies.
Uche Orji - UBS: And just one last question -- can you just tell me who are your better than 10% sales customers in the quarter?
Eric K. Brandt: We can’t do that. The 10-K will be out probably in the next week or so. You’ll have it for the top customers but I don’t know that we even break out the 10% customers anymore. We do in the K.
Scott A. McGregor: Yeah, we only do it in the 10-K. We don’t break it out on a quarterly basis.
Uche Orji - UBS: Thank you very much.
Operator: The next question comes from Allan Mishan from Oppenheimer. Please go ahead.
Allan Mishan - Oppenheimer: In terms of the Verizon royalty, should we now assume $32 million or so for six-and-a-half quarters instead of $40 million for five quarters?
Eric K. Brandt: I have a joke. When I was a partner in a professional service firm, we say that it takes three points to draw a line. A partner can draw it through two points and a senior partner can draw it through one point. We only have one point right now so it’s hard to draw a line through that one point.
Scott A. McGregor: You were a senior partner though, right, Eric?
Eric K. Brandt: No, I wasn’t. I left just before I became a senior partner, but I would say for the time being that’s probably a reasonable assumption until we have some additional data from Verizon, which we could update you with. We’ll try to update you certainly in the next quarter based on what we see.
Scott A. McGregor: There will be variability because remember, that is directly associated with what Verizon ships. That’s the key point.
Eric K. Brandt: And we don’t have a picture of their seasonality. Probably the best thing to do would be to go to some of the industry reports on phones that are shipped and Verizon phones that are shipped and try to approximate off of that.
Allan Mishan - Oppenheimer: Okay, great and then in the set-top box area, I think last year you had commented that normally the first half is higher than the second half seasonally. Given the changes you are seeing now in satellite and cable, do you still expect that to be the case?
Scott A. McGregor: Generally so. When we look at what happened here, we saw a fall-off specifically in satellite. The cable set-top box business was quite strong, so I think it’s very segment specific. One of the advantages of Broadcom is that we are strong in cable and satellite and in IT set-top box and so as market share shifts from one to the other, we are relatively insulated from that in terms of our revenues.
Operator: The next question comes from David Wong from Wachovia.
David Wong - Wachovia : You may have alluded to this already but apart from Broadcom’s specific successes or issues, do you see any signs of weakening or alternatively strengthening in any of your end markets, factoring out seasonality?
Scott A. McGregor: I think what you are trying to ask is are we seeing some economic horrible clouds on the horizon. I read the reports like everyone else but as of the order book this morning, we don’t see anything unusual.
David Wong - Wachovia : Do you see any of your end markets strengthening at this point?
Scott A. McGregor: Absolutely. We see a number of end markets strengthening. It’s interesting because I would say our customers have become a little cautious in terms of ordering on shorter lead times but at the same time, the number of expedites when they decide they really do need the products has gone up dramatically. I think we see specific customers with success in their programs and I’ve mentioned some of the drivers we see in 2008 and those are areas where we see strength right now.
Operator: The next question comes from Cody Acree from Stifel Nicolaus.
Cody Acree - Stifel Nicolaus: With some of the areas that maybe surprised you with upside growth in the quarter, did you see any areas where you thought you might have seen a little double ordering or excess inventory build that may need a little bit of clearing up here in Q1?
Scott A. McGregor: I mentioned that I think in a previous call where we have seen some of that in PCs. We don’t see particularly any excess inventories here right now except for possibly the satellite area we mentioned.
Cody Acree - Stifel Nicolaus: Okay, and even in something like 820.11n that grew as strongly as it did?
Scott A. McGregor: No, actually we see pretty good sell-through in those areas, so we’re -- we believe it’s relatively lean in our customer channels.
Cody Acree - Stifel Nicolaus: Perfect. Thanks.
Operator: The next question comes from Srini Pajjuri from Merrill Lynch.
Srini Pajjuri - Merrill Lynch: Thank you. Eric, you said of the $13 million to $18 million increase, half of that is related to legal. I’m just wondering, is that all that you are spending on legal, the $8 million or $9 million, or is there more to it? And then, as I look out to the next three, four quarters, I guess if you settle with Qualcomm that will come down, but is there any hope for that to come down if you don’t settle with Qualcomm?
Eric K. Brandt: It tends to be lumpy, as I mentioned, so it depends on the amount of time we are in court in any given quarter and the number of cases we think that we’ll start or end in any given quarter. So the down that we were down in SG&A this past quarter was also due to legal being, declining quarter on quarter and then sort of coming back in Q1. Is that all we spend on legal? No, legal is definitely bigger than a bread box. We are spending a fair bit more than that. Again, the issue is sort of what starts and stops in any given quarter and what’s in court. I don’t know that I would say that we think it would come down if we didn’t settle with Qualcomm. There’s always going to be ongoing litigation as it relates to a company that’s in as deeply as we are in IP and defend our IP as vigorously as we do. Our hope is that it would end and that would certainly cut a fair bit of our legal costs and potentially provide some additional economics as well.
Srini Pajjuri - Merrill Lynch: Okay, and then one more clarification -- the share count, you said your goal is to bring the share count back to mid-2005 levels. I’m looking at my model and I guess in Q2, you were at 540 and in Q3, you were at 570. I’m just wondering which number you’re targeting.
Eric K. Brandt: Why don’t you for the time being use something between -- in the 575 range. It really depends on what the stock -- you know, there’s two pieces, right? There’s the share buy-back and the treasury method effect associated with the stock price. So based on our current calculations, we think probably in the 575 range might actually be close to what happens.
Srini Pajjuri - Merrill Lynch: Okay, and my last question, on the satellite set-top box weakness, I’m just wondering, is it just the market being weak or is this related to any share shifts in the market? Thank you.
Scott A. McGregor: I think it probably has something to do with some share shift and perhaps some weakness in the market. I don’t think there’s any one particular factor that’s driving that.
Eric K. Brandt: That’s not share shift from the IC suppliers. That’s really probably share shift more in the market but that’s probably a better question to address to the satellite operators out there.
Operator: The next question comes from Tim Luke from Lehman Brothers.
Tim Luke - Lehman Brothers: Eric, just a clarification; as you mentioned, your SG&A seemed to come down sequentially. You mentioned that was partially due to a slightly lower legal. In guiding the legal being half of the OpEx increase, is that going to -- is that in the SG&A line and then the rest of the increase is R&D? And then for Scott, I just had a question on the wins in 3G with Samsung, when one might expect to see the beginning of shipments for that platform, and if you could just confirm again when we should expect to see the edge ramp with Nokia. Thanks.
Eric K. Brandt: Yes, Tim, I would say the real driver of the SG&A increase is pretty much just the legal side of things. In this quarter, R&D was up $14.6 million, although we were up 12.4, so if you split those numbers in half and you sort of look at the 13 to 18, divide them in half and say roughly half of that is legal, you’ll get a sense of -- and SG&A, really, you’ll get a sense of the rate at which we are slowing the spending down. Hopefully that helps you as you think about the rest of the year.
Scott A. McGregor: Related to your cell phone question, we said in our last conference call that we encouraged you to model Nokia for 2009 revenue. And for Samsung, we are currently shipping 3G with a number of Samsung phones today, so those are already in the marketplace and we expect the number of those phone models to grow over the course of this year.
Operator: The next question comes from Craig Berger from Friedman, Billings, Ramsey.
Craig Berger - Friedman, Billings, Ramsey: Can you, given that it takes 12 to 18 months to ramp a handset into production, you must be getting better visibility as to whether you are going to reach your year-end 2009 target. Are there any metrics that you can talk about or provide us about design wins at other customers or other wins or what milestones we might be looking for?
Scott A. McGregor: Well, as I share with a number of you at the analyst day, this is a frustrating period for us because we can’t talk about customer wins until they get in the market, or until they allow us to do so. So there may not be very much color we can add on that as we go throughout the year. And in general, we can’t talk about models until they actually ship, and so that makes it a little harder, although as I said before, 2007 was the year we focused on design wins and we announced some pretty good ones with the top two cellular makers in the world. And this year, we’re really in execution mode in terms of getting those design wins into production, getting a variety of models completed and out in the field. And then, depending on the success of those models, we could see various growth rates. The cell phone business, it’s important to not only have popular models but to have a variety of models so that you have a broader base to grow from. So that’s where we are going to concentrate this year, on getting a variety of models done with multiple customers and that’s the basis on which we have a goal to get the 10% number in 2009.
Operator: The next question comes from Craig Ellis from Citigroup.
Craig Ellis - Citigroup: Just two clarification questions here, first on the gross margin side; Eric, I think the business typically benefits when foundry utilization starts to come down, albeit with a lag. Is that something that would begin to start to benefit gross margins as we think about the second quarter?
Eric K. Brandt: I don’t think we have significant -- at least I don’t know that we know that there are significant changes in foundry utilization at this point. I think it depends on what happens across the rest of the industry but yes, you’re right. Certainly if foundry utilization were to come down, we would be able to see some benefit from that. We’re also aggressively trying to get benefit from multi-sourcing as well, so a lot of these things are on the plate and I think the quicker we get to 65-nanometer and ramp that, also the quicker we’ll get benefit as well. So we’re paying attention to all those things. It’s just too early to say what that short-term benefit would be.
Craig Ellis - Citigroup: Okay, thanks for that, and then for Scott, the video core product got very good reviews at CES. You talked about it quite a bit. Should we think about that as being a product that ramps for revenue, consistent with how you’ve been talking about the cellular business? Or is that something that can start to generate revenue as we think about the second half of 2008?
Scott A. McGregor: The advantage of the video core product is that it doesn’t require the extensive certification and other things that a cell-phone baseband would have, so it’s able to get to market faster than a baseband. I think it remains to be seen whether we can generate significant revenue this year out of it. I think it’s a 2009 is what I suggest you model it. But it’s a very, very popular product with customers. It’s just a -- it’s a rule-changer and I think it’s going to be exciting and you are going to see it in some interesting places.
Craig Ellis - Citigroup: Can you talk a little bit more about what those interesting places would be, whether it’s high-end handsets or other portable devices?
Scott A. McGregor: Well, the market we originally targeted for was handsets and our vision is that cellular handsets really just don’t make phone calls going forward. They are portable devices that deal with media. The 2727 Video Core 3 will do things such as HD playback. You can do 720p quality HD playback for something like six hours on a cell-phone battery, [900-million] amp power cell-phone battery. It will do about three hours of HD video recording on a cell-phone battery. So that basically means you could take this and you could turn your cell-phone, with a little bit of decent optics, maybe, but you could turn your cell-phone into an HD camcorder that would record for three hours. And we think that’s really interesting because it’s going to drive the capability into a lot of devices. Now, could you put it in a camcorder? Yes. You can make a camcorder out of it. Would it make sense in a personal media player? Yes. Would this same functionality make sense in other portable devices? You can probably imagine some it could go in. It also has very, very good game capability. We can do -- let’s see, there’s a demo we were able to show at CES and some other things, but we can show extremely high frame rates with many, many millions of polygons simultaneously. So it’s probably in the game range somewhere above PlayStation 2 in terms of its videogame capability of polygon shading. So a very, very impressive product and there’s a lot of interesting things you can do with it. Let me be a little vague after that, but again, very, very broad customer interest for it.
Operator: The next question comes from Quinn Bolton from Needham & Company.
Quinn Bolton - Needham & Company: A quick question for Eric; Eric, when you talk about this sort of moderating expense growth, does that factor in the merit increases that I think you said are planned for the second quarter each year?
Eric K. Brandt: Well, like I -- I said net of that, so what typically -- I think last year we said it was about $11 million, $11.5 million of the expense increase in Q2 was related to that merit increase process. So it’s a similar number plus the increase in headcount, so I don’t have an exact number and I’ll be able to provide you a better number when we get on the first quarter call and we project it out a little bit better. But something like that would occur in Q2. And in our book, what we are trying to do is try to say net of that change, which is the cost of living adjustment across the year, what is the real rate of growth of spending, and that’s driven by both headcount costs, engineering tools, prototyping, those sorts of things, and trying to manage those costs to be more effective. Again, we grew expenses at 27% this year, let’s say 25% compound over the last two years and now we need to start getting some benefit from those, driving revenue growth before we start increasing expense growth again.
Quinn Bolton - Needham & Company: Great. Thanks for the clarification and then just any more color you can provide on anticipated royalties from the Qualcomm -- I think that begins after March 31st, or is it still too early? I think you’ve got a few more gates in court before that all gets hashed out.
Eric K. Brandt: We haven’t received any data from Qualcomm on how much money they would be paying us over time. We look forward to receiving that from them and once we have something, if it’s material and meaningful, we’ll certainly talk about it. So at this point, it’s probably best to ask them how much money they are going to pay us per quarter.
Operator: The next question comes from Shaw Wu from American Technology Research.
Shaw Wu - American Technology Research: I just want dive in more into your GPS comments. Frankly, I was a little surprised that you are citing it as one of your stronger areas already. It’s a fairly new business for you guys. Just wondering, the strength of that business is that -- actually, more going forward, is that more predicated on gaining more PND wins or do you see it more as you are pushing GPS technologies into other types of, other platforms like cell-phones? Thanks.
Scott A. McGregor: Longer term, it’s certainly going to be a much larger cell-phone revenues that drive that, rather than PND devices. PND devices, we certainly have some excellent design wins there and that’s the bulk of the revenue today. But I think if you look out a year or two, it’s going to be predominantly the cell-phone business. So that’s a great growth opportunity for us. It isn’t super large in terms of absolute size for us today but it’s growing at a pretty good sequential rate and we do expect that to be a good contributor to Broadcom over the course of the year.
Shaw Wu - American Technology Research: Thanks for the color.
Operator: The next question comes from Daniel Berenbaum from Caris & Company.
Daniel Berenbaum - Caris & Company: Back to OpEx a little bit -- can you maybe talk about what your plans are with stock-based compensation, give us a little idea of how that’s going to trend over the course of the year?
Eric K. Brandt: We remain committed to move this down to a more normative level, so last year we did about 4.6% dilution. Our stock-based compensation in the quarter was about $130 million. I think we’ll be closer to the 4% range, plus or minus what we see normal atrits and forfeitures, so we’ll probably migrate down about a half-a-point this year. I think through the share repurchase program we’ve got out at the current stock prices, we’ll certainly buy back more than that. So that’s the current plan and we continue to be focused on it and migrating it in the right direction.
Daniel Berenbaum - Caris & Company: And do you think, is that going to have to be made up by cash comp? In other words, should I expect to see cash comp come up to balance the decrease in stock-based comp?
Scott A. McGregor: We’ve been making a number of change over the last three to four years in terms of bringing up the cash comp and lowering the equity portion of it, so I’d say we’ve already made those investments.
Eric K. Brandt: We have and I think we’ll continue to do so but they are factored into our estimates as we go forward.
Daniel Berenbaum - Caris & Company: Okay, great, and then if I can sneak one in on 3G, the -- if you can give us some color on the number of 3G chips that you shipped in the quarter and for the full year?
Scott A. McGregor: I don’t have that data. I apologize.
Daniel Berenbaum - Caris & Company: Okay, thanks.
Operator: The next question comes from Seogju Lee from Goldman Sachs.
Seogju Lee - Goldman Sachs: Just a question on GPS; I think you said you expect it to grow in Q1. I’m not too familiar with the seasonality of that business so if you could just talk about that a little bit and what the drivers are for Q1, that’d be great. Thanks.
Scott A. McGregor: Broadcom is traditionally more of a product cycle driven company than a company that focuses on macro seasonality and things like that, so often product ramps drive a lot of that. So we do expect GPS to certainly grow throughout the year. We don’t break it out quarter by quarter which grows, but we certainly expect GPS to grow nicely through the year.
Eric K. Brandt: Remember, this was a very strong holiday season for GPS products overall. That’s kind of some of the feedback that we’re getting from the report that you guys are writing, so our end customers apparently did very well in the fourth quarter.
Seogju Lee - Goldman Sachs: Great, thanks. Good luck.
Operator: The next question comes from David Wu from Global Crown Capital.
David Wu - Global Crown Capital: I have just one clarification question. The clarification is given what we now know about the ramps on 65-nanometer, et cetera, should we be looking at the gross margin bottoming some time in the second half as you have higher volume of the new products hitting volume, so to speak, or down the learning curve? And this sort of 10% or 20% basis point quarter over quarter decline ex the Verizon come to an end sometime in later on this year?
Eric K. Brandt: Again, I would say it’s early to say exactly what the trend is on the gross margin beyond the current quarter. We’ve said that we think our gross margin is sort of in the 50% to 52% range. I said last quarter I thought that we would be closer to the middle end of that range over the course of the year. Obviously we’ll try to do better than that. To project it, it really does depend on what Craig said earlier, on foundry capacity and some other things. So hard to say for sure and I think we’ll just watch it closely and let you know. I mean, to the extent that we continue to have significant growth ramps across this year and through next year, we could continue to see some pressure on the gross margin as we do that.
David Wu - Global Crown Capital: Okay. The other one I have is a question on investments. As I look at the -- you know, you are obviously ramping the cellular part of that portfolio and I take a look at the numbers and they would indicate something in the order of $200 million worth of investments to get into this business and that requires about $0.5 billion roughly of revenues to cover. A, am I approximately right? And B, it sounds like -- can we do -- I was thinking whether we could do something in the order of $0.5 billion in revenue from cell-phone, whether it’s just baseband or all the other stuff put in, in calendar ’09?
Eric K. Brandt: Let me deal with the expense piece first. I don’t know if you were at analyst day, but at analyst day we showed a chart that showed that roughly one quarter of R&D expenditures were in the cellular space. Our R&D expenditure for this past quarter, if I remember correctly, is $271 million. If you annualize that across four quarters, you’d be close to $1.1 billion, I think 1.08 to be specific. If you then divide that out, you’ll come up in the vicinity of sort of $250 million to $300 million for a cellular investment. So that’s sort of the dollar range we’re talking about but it’s plus or minus in the 25% range. As far as the revenue side of things, we haven’t provided guidance for 2009. We are absolutely cognizant of our operating model and trying to drive our R&D expenditures back to model in the 20% to 22% range. We don’t have a specific timing to provide you on that but I do think you can look at the signs and the slowing rate of R&D growth and the acceleration of revenue, we hope, across the year to give you some picture as to how quickly we’ll begin to migrate that back to model. That’s probably the best picture I can give you at a macro level.
David Wu - Global Crown Capital: Okay, the $250 million to $300 million a year, I assume this is more than just baseband, right? It includes things like the stuff that goes with it, like FM radio and --
Eric K. Brandt: No, no.
David Wu - Global Crown Capital: Just baseband?
Scott A. McGregor: No, it includes baseband, it includes radio that goes with our baseband, that’s integrated in with it. It includes power management. It includes software. Software is -- there are more software engineers in our cellular group than hardware engineers, so it includes a variety of those different things. The wireless connectivity piece is separate from that and that would be where we would have Bluetooth, wireless LAN, FM radio, GPS, things like that.
Operator: The next question comes from Amit Kapur from Piper Jaffray.
Amit Kapur - Piper Jaffray: With the global handset market continuing to shift towards lower ASP phones, can you maybe talk about how that changes how you are positioning your chip solutions into that market and whether you see maybe price becoming a more important factor going forward?
Scott A. McGregor: I observe the same things as you do and one of the things that works our really well for us is the high level of integration in our chips. If you look at the Edge integrated chip we have, the Venus chip, it’s a very highly integrated solution. It allows you to build a really cost effective 2G Edge solution and you can see the same thing as we migrate our 3G solutions. It’s interesting because I think the wideband CDMA phones will move very quickly to the HSUPA/HSPA phones, and creating a low cost HSPA phone is very interesting. And the Zeus product that we announced recently is ideally targeted for that segment. So we think we’ve done a good job at positioning. We’re not going for the ultra low-cost phones. That’s not a market we target right now. That’s unfortunately ultra low margin also, so we’ve skipped that space. We’re targeting the Edge and up, if you will. And then going for low cost, high value products in each of those spaces, 2G and 3G.
Amit Kapur - Piper Jaffray: Great. Thanks a lot.
Operator: The next question comes from John Dryden from Charter Equity Research.
John Dryden - Charter Equity Research: First, for Eric, with the increased R&D of $15 million and then cut in half for March, can you talk about how much was a positive transition of multi-purpose wafers and/or versus the increased cellular investment? And then for Scott, can you update us on the power management strategy and any incremental success with the 59001 and the 59035, from both an integrated solution with the chipset and a discrete solution at other customers?
Eric K. Brandt: So in Q4, the $14.6 million, it’s hard to say. It varies. Sometimes it -- you know, rule of thumb can be anywhere between a half to two-thirds headcount related and about one-third related to tools, prototyping, et cetera. That’s probably the best way to lay it out. In terms of splitting it by business, we’ve never split it by business so I don’t really want to start on that going forward. I think as you look into Q1, that’s probably the best picture I’ve got right now. I mean, how it plays out really depends on the number of masks that come out but certainly in Q4 we were seeing, as we did in Q3, more dedicated masks as a number of these chips got ready to go into production oriented masks and get ready for production. And I suspect we will see more of that as we roll into 2008 as I mentioned during analyst day. So that will put some pressure on the cost but even in the face of that, again we still think we believe that we can moderate our expenses.
Scott A. McGregor: Regarding your power management question, power management is doing quite well. We’ve got some great products out there. Unfortunately, I can’t tell you about unannounced customers but I can give you a couple of observations. If you were to take apart some of those Samsung 3G phones out there, you would notice power management chips from Broadcom. And as of today, we’ve shipped about a million units of power management, just to give you a perspective. So it’s not enough to be a lot of revenue yet but it’s enough to be an interesting contributor and it’s a good growth area for us going forward.
John Dryden - Charter Equity Research: Can you comment if anybody is interested in the discrete solution or if everybody is going for the attachment with the chipset?
Scott A. McGregor: I can’t comment on that, unfortunately.
John Dryden - Charter Equity Research: Thanks for taking my questions.
Operator: The final question comes from Sumit Dhanda from Banc of America Securities.
Analyst for Sumit Dhanda - Banc of America Securities: This is Ian for Sumit. Eric, just a question for you on the OpEx; given the time lags you identified, do you think by the end of ’08 you’ll have had the full magnitude of the OpEx slowdown that you are anticipating, and are you thinking about anything else throughout the year? And I have a quick follow-up.
Eric K. Brandt: What we are saying to is that we’ve sort of gone through our budgeting process. We have a picture of how we are going to spend during the course of the year and we believe that we can slow the rate of growth. Again, I used the tanker example, I use a horse example, you know, when you slow a horse down, you have to slow a horse down before it gets to a trot or a walk and we’ll do that across the year. In terms of what we think will happen in ’09, it really depends on specific customer opportunities and the rate at which revenue is sort of ramping at that point in time. The management team is committed to driving profitable growth and that’s what we are focused on. While we realize in short times, in short periods of time we may grow expenses faster than revenue, we know over the long-term we need to grow revenue and profits at the same rate or better. So that’s really what we did and we started looking from ’09 back to come up with the plan for ’08 and that’s what we’re doing. More data on that, unfortunately I wish I could give you more since we are only really reporting the end of Q4, more data on that as the year unfolds.
Analyst for Sumit Dhanda - Banc of America Securities: Okay, thanks, and then just a quick question on the cellular outlook; thinking about Nokia revenues as more of a 2009 phenomenon, are you still on track to double revenues in ’08 off your small base?
Scott A. McGregor: I don’t think we’ve given specific guidance on that, but yes, we’re still planning to grow our 2008 revenue and I think the rollout with Samsung and some of the other things we are doing will enable us to do that. Okay. Thank you very much. In closing, I’d like to thank all of you for joining us on the call this afternoon and I would like to leave you with three important points from our call. The first one, in Q4 and for the full year 2007, we achieved record revenue while at the same time generating solid cash flows from operations. I think that’s something Broadcom is very good at doing in terms of really generating a solid cash flow. Number two, we remain committed to getting back to our targeted operating model and to that end, we have made strategic moves to moderate our overall expense growth in 2008, as Eric clarified there. And then finally, you’ve heard a lot of good products we have. We remain very excited about the opportunities ahead of us in each of our target segments. With that, thank you very much and good afternoon.
Operator: Thank you for participating in the Broadcom fourth quarter and year 2007 earnings conference call. This concludes your conference for today. You may all disconnect at this time.